Unidentified Company Representative: Good afternoon, everyone. I am Lisa, Investor Relations for Mobix Labs and I’d like to thank you for joining us as we report Mobix Fiscal Fourth Quarter and Full Year 2024 Financial Results for the period ending December 31st 2024. Joining me on today’s call are Fabian Battaglia, Chief Executive Officer; and Keyvan Samini, President and Chief Financial Officer. This call is also being webcast live in the Investor Relations section of our website at mobixlabs.com. Before we begin, I’d like to remind everyone of our Safe Harbor policy. This call and webcast contain forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995 which are subject to risks and uncertainties. Any statements regarding expectations, projections or other characterizations of further events, including financial outlooks, market conditions or product development are considered forward looking statement. Actual results may differ materially from those expressed due to various factors, including those outlined in our SEC filings. Mobix Lab assumes no obligation to update any forward-looking statements except as required by law. For more detailed discussion of risks and uncertainties, please refer to our SEC filings, including on our Form 10-Q for the quarter ending February 12, 2025 and the Risk Factors section of our Form S-1 filed on August 12, 2024. Additionally, this call includes non-GAAP financial measures. Reconciliations of these measures to the most directly comparable GAAP financial metrics are available in our fourth quarter earnings release which is posted in the Investor Relations section of our website. With that, I’d like to turn the call over to Fabian Battaglia. Fabian, please go ahead.
Fabian Battaglia: Good afternoon, everyone. I'm excited to welcome you to Mobix Labs fiscal year 2025 first quarter earnings call for the period ending December 2024. As we now enter our second full year as a public company, I am thrilled to share our progress and the opportunities we see ahead. Mobix Labs continues executing on a bold vision, leveraging technology innovation, strategic acquisitions and operational excellence to drive sustained growth. In fiscal Q1 2025, we delivered revenue of $3.17 million exceeding our prior guidance and marking our fifth consecutive quarter of growth. This momentum reflects the strength of the successful integration of RaGE Systems and EMI Interconnect Solutions and the expanding demand for our technology and solutions across key industries. Continuing our strategic expansion, Mobix Labs has agreed to acquire two high value companies, Spacecraft Components Corp and SCP Manufacturing. These acquisitions, which are expected to close within the next few months will strengthen our position in the aerospace and defense markets. Spacecraft Components, a well-established Nevada-based leader in precision aerospace and defense technology has long been a trusted supplier to Mobix Labs' subsidiaries as well as many other customers. Integrating their expertise and longstanding customer relationships will position us for even greater success. SCP Manufacturing, which specializes in mission-critical electronic components used exclusively in spacecraft components products plays a key role in supporting vital defense systems, including the U.S. Army's Patriot missile platform and major metropolitan transit networks. These acquisitions are expected to enhance our operational efficiency, gross margins and overall profitability as we create new synergies across our expanding portfolio. Our EMI Interconnect Solutions products line remains a high growth engine for the company. The mid-2024 launch of our Filtered ARINC Connectors set a new industry standard and demands for this product continues to grow. In Q1 2025, we secured bookings for these high-performance connectors now being integrated into next-generation aircraft electronics. Additionally, our customer designed filtered connectors are now actively deployed in the U.S. Army's Apache helicopters, enhancing communication reliability in mission-critical environments. We're also delivering our high-performance USB connectors for use in the U.S. Army's Chinook helicopters ensuring seamless data transmission in even the most extreme conditions. These successes reinforce Mobix Labs as a premier provider of high reliability interconnect solutions for military and commercial aerospace applications. On the wireless technology front, the RaGE Systems product group continues to be a powerful growth driver. I am pleased to announce that RaGE Systems has been awarded a Phase 1 SBIR grant from the U.S. Department of Defense. This funding supports pioneering collaboration with the University of Massachusetts at Lowell to develop a low power, high-performance monolithic software-defined system on chip for satellite communications. This project underscores our commitment to technological leadership and our role in strengthening national defense capabilities. In addition, demand for our millimeter wave imaging and security detection products remains robust. We are producing and advancing multiple generations of our imaging modules, opening doors to new markets, including critical infrastructure protection. Our non-visual imaging and multi sensor fusion technologies are expected to generate transportation infrastructure fault detection revenue opportunities throughout 2025 and beyond. Our partnership with Talking Heads Wireless is also beginning to yield results. As we help to integrate AI-driven, power-efficient radio architectures, we are laying the foundation for revolutionary advancements in base station technology, significantly reducing power consumption and improving network efficiency. Meanwhile, our research collaboration with the University of Massachusetts at Lowell continues to generate groundbreaking innovations. Our state-of-the-art lab on campus is driving advancements in infrastructure imaging for the rail industry and exploring next-generation solutions for low power, high-performance satellite communications. As we scale operations and integrate our acquisitions, we remain focused on meeting growing customer demand by optimizing production capacity to accelerate deliveries. With our planned strategic investments in technology, talent and infrastructure, we are confident in our ability to drive sustained growth and maximize shareholder value. At Mobix Labs, we are not just building a company. We are solving real-world customer problems. Our expertise in interconnect and wireless solutions, coupled with our disciplined approach to strategic acquisitions positions us as a formidable player in rapidly growing markets. As we look ahead, we are poised to capitalize on significant opportunities, drive innovation and create long term value for our shareholders. Now Keyvan will tell you a bit more about our financial results.
Keyvan Samini : Thank you, Fabian. I'm thrilled to share the financial highlights of our first fiscal quarter ending December 31, 2025. Unless otherwise stated, all figures discussed today are on a non-GAAP basis. Now let's dive into our results for the first quarter of 2025. We delivered revenues of $3.17 million, exceeding the high end of our guidance and marking a strong 7.3% sequential increase over the prior quarter. Our revenue skyrocketed 11-fold compared to the same fiscal quarter last year, underscoring our exceptional growth trajectory. Turning to gross margin, our first fiscal quarter adjusted gross margin remained relatively stable at 54.1%, compared to 56.6% in the prior quarter, reflecting continued price discipline and cost efficiencies. We also made meaningful strides in improving profitability. Adjusted loss from operations improved by an impressive 28.9%, narrowing to $2.5 million from $3.6 million in Q4. Notably, this marks the fourth consecutive quarter of reduced operating losses, a testament to our disciplined cost management and focus on scalable revenue growth. Our balance sheet continues to strengthen with cash growing to $405,000 at the end of Q1, a significant increase from $266,000 in the prior quarter. To capitalize on strategic acquisitions and rising customer demand, we are actively pursuing additional financing that will position us to execute on growth opportunities and scale our business to meet customer demand. Looking ahead at our second fiscal quarter of 2025, we acknowledge the substantial near-term variability associated with our acquisition strategy and sales cycles. Given this, we believe it is in the best interest of our stakeholders to withhold revenue guidance at this time. However, long term financial objectives remains firmly in place. We remain committed to achieving gross margin of 60% and an adjusted operating margin of 30%. As revenue scales, we will continue exercising disciplined cost management to drive operational leverage and advance toward profitability. In summary, we are highly encouraged by our performance in the December 2024 quarter. Our acquisition strategy is fueling the revenue expansion we set out to achieve. With a growing pipeline of M&A opportunities, rising customer demand and ongoing operational enhancements, Mobix Labs is on a clear path towards scalable growth and long-term success. Operator, we are now ready to take questions.
Operator: At this time, I'm not showing any questions in the queue. I would like to thank you for joining today's conference call. You may all disconnect.